Operator: Good morning and welcome to the Everbridge Inc., Fourth Quarter 2022 Earnings Conference Call. All participants will be in listen-only mode. [Operator Instructions] After today's presentation there will be an opportunity to ask questions. [Operator Instructions] Please note that this is being recorded. I would now like to turn the conference to Nandan Amladi, VP of Investor Relations. Please go ahead.
Nandan Amladi: Thank you, Anthony and good morning everyone. Welcome to Everbridge’s earnings call for the fourth quarter and full year 2022. With me on today’s call are Everbridge’s President and CEO, Dave Wagner, and Executive Vice President and CFO Patrick Brickley. Earlier this morning we issued our earnings release, which can be accessed on the Investor Relations section of our website at ir.everbridge.com. This call is being recorded and a replay of the teleconference will be available on our Investor Relations website at the conclusion of today’s event. During today’s call, we will make forward-looking statements regarding future events or the financial performance of the company that involve certain risks and uncertainties. The company’s actual results may differ materially from the projections described in such statements. Factors that might cause such differences include, but are not limited to, those discussed in our Forms 10-Q and 10-K, as well as other subsequent filings with the SEC. Information provided on this call reflects our perspective only as of today and should not be considered representative of our views as of any subsequent date. We explicitly disclaim any obligation to update any forward-looking statements or our outlook. Also during today’s call, we will refer to certain non-GAAP financial measures. A reconciliation of our GAAP to non-GAAP financial measures is included in our earnings press release, which you can find on our Investor Relations website. Our earnings press release includes highlights from our fiscal year 2022 in addition to our financial results and outlook. After we review our business and financial highlights, we will open the call for questions. With that, let me turn the call over to Dave. Dave?
David Wagner: Thanks, Nandan. Good morning everyone and welcome to Everbridge's earnings call for the fourth quarter and full year 2022. I am very pleased with the financial results we released earlier this morning. For the fourth quarter we achieved revenue of $117.1 million, an increase of 14% year-over-year; adjusted EBITDA of $19.6 million, an increase of $19 million from $572,000 a year ago; and annual recurring revenue of $384 million, which is up $14 million or 4% quarter-over-quarter, our largest quarter-over-quarter increase of the year. I am also pleased that the team executed these strong results while also executing a 10% headcount reduction in the quarter. We entered Q4 with 1,893 employees and ended the year with 1713. Our team demonstrated incredible resilience. In addition to the strong operational results, we completed the repurchase of over $300 million in face value of our 2024 notes, reducing our net debt by approximately $28 million in the quarter. Each of these results demonstrates our commitment to execute against the plan we discussed at our Investor Day in December. Our strategy is anchored on a 20-year commitment to keeping people safe and organizations running by digitizing organizational resilience. We deliver our customers intelligent automation technology that empowers them to anticipate, mitigate, respond to and recover from critical events. We serve customers of all sizes, but our focus for the next five years will be on larger enterprises and governments with the resources to fully leverage our solutions and we are focused on driving annual recurring revenue with the aim of achieving $1 billion in ARR over the long term. Our results for the fourth quarter demonstrates strong initial steps on our journey. Entering 2023, we are confident in our baseline 6% to 7% revenue growth rate and in achieving $85 million in adjusted EBITDA. Before I go further, I will now turn the call over to our CFO, Patrick Brickley, to provide details on our financial results for the fourth quarter and full year, as well as our updated outlook for 2023, after which I will return to provide more detailed commentary on the quarter. Patrick?
Patrick Brickley: Thanks Dave. In fiscal year 2022, we exceeded our annual targets for revenue and adjusted EBITDA and we executed significant restructuring programs which resulted in reductions and realignment of resources. We enter fiscal year 2023 with a leaner cost structure and an experienced leadership team in place to build a profitable organic growth business for the long-term. I will now recap our results for the fourth quarter and full year. For full details of our P&L and reconciliation of GAAP to non-GAAP measures, please refer to our press release. For the fourth quarter of 2022 our ARR of $384 million was up approximately 11% year-over-year. Share of ARR coming from customers over $250,000 ticked up to 44% from 43% in the September quarter. Revenue grew 14% year-over-year to $117.1 million reflecting our growth in ARR as well as record deliveries of one-time licenses and services of over $16 million and a modest stub of inorganic contribution from the Anvil acquisition, which was completed in November, 2021. Adjusted gross margin was 74% reflecting seasonally higher perpetual license mix in the quarter and improving platform efficiency. Adjusted EBITDA was $19.6 million or 17% of revenue, which is a little higher than the mid-teens adjusted EBITDA that we guided to at the outset of 2022 and is an early reflection of the streamlined cost structure with which we enter fiscal year 2023. Cash flow from operations was $4.4 million compared to $10.2 million a year ago. Adjusted free cash flow was $4.6 million. This represents free cash flow adjusted for $4.2 million of one-time cash payments related to restructuring. For the full fiscal year 2022, revenue grew 17% year-over-year to $431.9 million. We entered 2023 with a purely organic growth profile having lapped all of the acquisitions that we made in 2021 and having made no acquisitions in 2022. Adjusted EBITDA was $42.1 million or 10% of revenue compared to $11.2 million or 3% of revenue in 2021. Cash flow from operations was $20.2 million compared to $22.2 million a year ago. Adjusted free cash flow, which adjusts for $12.3 million in one-time cash payments related to our restructuring program was $13.9 million. Our net revenue retention rate once again tracked at or above 110% reflecting continued customer satisfaction combined with demand for additional Everbridge technology to expand within the existing customer base. Our momentum with large transactions continued in Q4 resulted in trailing 12 months ASPs that were again above $100,000 and a record 80 deals in the quarter that were over $100,000 in annual contract value. Additional business metrics can be found in our Investor Relations presentation posted on our website. In addition, we recently improved our capital structure by repurchasing approximately $316 million principle amount of our convertible debt using cash on hand of approximately $289 million, a discount of 8.75% to face value. Approximately $134 million of principle amount of 2024 notes are still outstanding, which we expect to retire using cash on hand on or before their maturity in December of 2024. We ended the fiscal year with cash and cash equivalents of approximately $199 million. Now I will turn to guidance. We are reiterating the guidance for fiscal year 2023 that we laid out in detail at our recent Investor Day. We expect to grow revenue in the range of 6% to 7% with adjusted EBITDA in the range of $84 million to $86 million, a margin of approximately 18.5%. We don't anticipate any significant growth in headcount during 2023, and as such, we expect that we will be poised to make additional progress towards the Rule 40 in 2024. Our outlook for the first quarter of 2023 is as follows. We expect revenue in the range of $106.3 million to $106.7 million, reflecting year-over-year growth of approximately 6%. This represents a sequential decrease from Q4 2022, which is attributable to a sequential decrease in non-recurring revenue. We expect adjusted EBITDA in the range of $9.8 million to $10.2 million, a margin of approximately [Technical Difficulty]. As we've seen in our historical performance, our Q1 profitability tends to be pressured by seasonal patterns of headcount related costs, primarily the timing of payroll taxes. In summary, the actions we undertook in 2022 to refocus our business and restructure our costs have positioned us well for 2023, both financially and strategically. With that, let me hand the call back over to Dave.
David Wagner: Thanks, Patrick. As our $14 million increase in ARR demonstrates, we had a good quarter in our recurring business. We also had a good quarter from both a new and existing customer perspective. From a new customer perspective, we added 97 total new enterprise customers in the fourth quarter of which 50 were CEM customers, bringing our total CEM customer count to 307. Additionally, we generated 80 deals over a $100,000 dollars in the period, which is up from 66 in the fourth quarter of 2021. While we had strong deal velocity, we only had one deal over $1 million in the quarter and four over $500,000 in the quarter. This compares to five deals over $500,000 in Q4 last year. The decline is primarily due to lower perpetual bookings in the quarter. Our top-five new customer wins in the quarter included two SaaS customers and three perpetual customers. Two of the new customers were in the government vertical, one was in healthcare, one was in retail, and one was in construction development. Two of the wins were CEM wins, two were smart security wins, and one win was in public warning. As noted earlier, our perpetual license bookings, which achieved a record level for the year were lower in Q4. This fact coupled with the strong perpetual deliveries in the quarter led to the lowered backlog which we expected. Moving on to sales to existing customers, we had another strong quarter of solution expansions. Our top-five growth deals were all SaaS deals and they were all CEM customers. Two of the five were digital resilience customers, and three were people and operational resilience customers. Two were in the finance vertical, two in pharmaceutical, and one in construction development. Another exciting fourth quarter expansion was the Port Authority of New York and New Jersey, which oversees much of the regional transportation infrastructure, including bridges, tunnels, airports, and sea ports for one of the most populous regions in the country. Closing out our commentary on ARR growth, we had our largest ARR quarter-over-quarter growth of the year, driven by our strongest quarterly gross retention rate in over two years. We are very pleased with both gross and net retention in the quarter. Putting new wins, growth deals, and retentions together, our ARR in Q4 reached $384 million, up $14 million sequentially, positioning us well for 2023. The share of total ARR coming from customers of 250K or more to top slightly to 44% reflecting the nice growth in agreements with existing customers. In addition to our go-to-market successes, we continue to focus on simplifying our product offerings and making strategic product integrations in order to increase our efficiency and velocity to improve profitability. From an innovation perspective, we recently introduced a new AI powered situational awareness tool, digital ops insights to our digital operations solutions bundle. This solution enables incident commanders and resolvers to gain deep visibility into IT service disruptions, and it helps organizations save time, maintain customer satisfaction, deliver continuous service uptime, and innovate. From an implementation perspective, we are very proud of the fact that we successfully deployed the Norwegian Public Safety System in December that we were just awarded in September. Along with the Norwegian Government and our partners, we implemented this system in record time, strengthening our reputation as the undisputed leader in this market. This public safety solution will help keep Norway's more than five million residents and nearly seven million annual visitors safe and informed in case of an emergency. Norway is an innovative country and one of the first countries in the world to implement location-based technology to inform and protect its people. We accomplished all of the above while meaningfully improving our profitability and building our leadership team for the future. We added several key individuals to the leadership team and to our Board this past quarter. Let me briefly introduce you to each of them. In December, Noah Webster joined as our Chief Legal and Compliance Officer and Corporate Secretary. He has over 20 years of legal experience, including negotiating agreements, security, compliance, litigation and M&A. Noah is responsible for leading and managing all legal, compliance and risk management programs at the company, as well as our ongoing ESG efforts. I've known Noah for several years from our time together at Zix, and I'm incredibly excited to have him on board with us. In January, we announced the appointment of Bryan Barney as our new Chief Product Officer. Brian is responsible for leading Everbridge's global product development strategy, strengthening our platforms and integrating our products. His extensive background and enterprise software and cybersecurity leadership positions working for companies like RedSeal, Symantec, Sophos and McAfee positioned him well to lead our product vision. And last week we announced the appointment of John Di Leo as our new Chief Revenue Officer. John is an extraordinarily customer focused leader who brings out the best in his teams and works to align the entire organization in support of the customer. He also brings extensive international experience to his role. John and I work together both at Zix and Entrust. At Everbridge John will spearhead our go-to-market motions and focus our sales teams on growth and improving our overall go-to-market efficiency. We also added two new Board members, David Benjamin, and Rohit Ghai. Both bring additional skills and experiences to help shepherd our company through its next phase of growth. David Benjamin is currently the Executive Vice President and Chief Commercial Officer for Blackbaud. His international experience and track record in accelerating public companies commercial offerings will be invaluable to our go-to-market market expansion efforts. Rohit Ghai is the CEO of RSA Security and brings a deep cybersecurity understanding to Everbridge, which will further bolster us in one of our top focus areas of board governance and risk management. Rohit also has a strong product management background delivering technologies to market at scale, which will also be a valuable addition. These leadership and board appointments further strengthen us as a team. In summary, we delivered a solid financial performance in Q4 as we continued to make progress on our long-term financial goals. We are implementing the strategy outlined during our Investor Day in December, and we are entering the year with a strong foundation to achieve our goals for 2023. We are building a foundation focused on delivering consistent profitable growth on our way to $1 billion in annual recurring revenue. I look forward to updating you on our progress in the coming quarters. We're now ready to open the call for questions. Anthony?
Operator: Thank you. [Operator Instructions] Our first question will come from Alex Sklar with Raymond James. You may now go ahead.
Alexander Sklar: Thanks. David or Patrick, I want to ask how you're thinking about bookings velocity for 2023 given the macro as part of that 6% to 7% revenue guide to outlook, should we think of ARR or RPO growth that should track, should that track kind of that revenue growth framework? Thank you.
David Wagner: So that, that's a good question. You know, the first thing I think about is in terms of the bookings is that, is the normal seasonality, and so we're entering Q1 which tends to be our lower quarter of the year. When I think about it, I think about the ARR velocity that we're generating in these deals $100,000 and below and those are things that really give me confidence looking forward. And I combine that with, for me, the highlight of the quarter personally was that gross retention rate returning to its highest level in in two years. But from a bookings velocity perspective, we're really focused on the recurring bookings. Our pipeline for perpetual deals remains solid, but as you know, those large government deals are more inconsistent in their timing.
Alexander Sklar: Okay, great. And I guess Patrick, just kind of a somewhat of a related question, but given the increased focus on CEM, can you help frame kind of the embedded growth in the 2023 outlook that you're thinking about from CEM versus maybe mass notification or other parts of the business?
Patrick Brickley: Well hey, Alex. You see in the results from Q4 CEM is really helping to propel the business. This evolution of the ways in which businesses approach resilience is driving a more digitized approach and we're the leader in the space. So we had a great CEM quarter. We're continuing to focus on the platform adoption and moving customers up the CEM stack. Mass notification is also very important, but that's a piece of CEM and we really want to be focused on CEM as we move forward.
Alexander Sklar: Okay, thank you both.
Operator: Our next question will come from Matt Stotler with William Blair. You may now go ahead.
Matt Stotler: Hey, good morning. Thank you for taking the questions. Maybe first on the CEM net ads, obviously you know, very strong in the quarter above 50 nearly 2x anything you've seen prior in terms of quarterly ads and acceleration in terms of the year-over-year growth rate. We'd love to get some more color on what's working there on the CEM standpoint? And then is this something that's attributable more to Q4 seasonality or is this kind of structurally higher capacity when you think about the ability to grow the CEM cohort with the recent changes you've made to the business?
David Wagner: Thank you. So that's a good question. You know, those ads are probably the focus area of our go-to-market strategy. Especially as we're aligning into 2023, we're paying particular attention to propensity models, account based marketing for new CEM wins, as well as driving the expansions of our existing point solution customers up into CEM. One of the things that worked well in Q4 as I noted before, the migrations of the risk center customers into CEM, that program kicked in in Q4. We expect that to be a steady contributor throughout the course of 2023. And then related to that at a more macro level, I'm not so concerned about CEM versus new customer wins. We know from experience that once we get a customer win into the Everbridge family, the expansion happens as they mature their resilient strategies. So we remain also excited about point solution wins that that will grow into CEM over time. So it's a really important indicator. You know, I won't be surprised if we have quarters that move around a little bit as we continue to execute the strategy. And I'm probably answering somebody else's question, but one of the things I think you were asking about is just overall capacity for delivering, CEM deals in particular, but deals of all kinds. And we highlighted in November, the fact that we did take some sellers out of the organization in early mid Q4. And we talked about that 6% to 7% allowing for some reduction in capacity theoretical capacity from those sellers. As we lean into 2023, we're really focused on retention of everybody in the company, of course, but those quota bearing reps, that retention and the expansion of capacity that's going to come through tenure. And so we're making good progress on that OKR as we kind of hit the midpoint Q1. So that's a, really long answer to a straightforward question. Does that help you, Matt?
Matt Stotler: Yes, I know, that's super helpful. I appreciate that. As a followup obviously at this point you mentioned that you're substantially done with the workforce restructuring at least you've talked about so far. When you look at the technology side of things and the continued efforts to integrate everything both on the back and the front end and kind of continue moving towards this true platform model, could you give an update on where you are in that process and then maybe the updated timeline for completion on that front as well?
David Wagner: Yes, there are, I'll hit that in two ways. You know, one, I'm really pleased with the teammates who worked with me in that brief Interim Chief Product Officer that I did along with Haibei (Happy) Wang who you met at Investor Day. Also very pleased with the addition of Bryan Barney to the leadership team. His experience, particularly at McAfee, but also the other companies where he's been, he has so much pattern recognition from those experiences with building platforms, incorporating acquired technologies. And so he's early in his journey, but I'll just tell you, I'm already really impressed with how he's digging into the technology, digging into the platform, architecture and further aligning the team to enhance our velocity. So we still have a lot of wood to chop, but I am really confident six months into my journey and six weeks into Bryan's journey that we've got the right team and the right things moving forward from a product platform perspective.
Matt Stotler: Great, thank you very much.
Operator: Our next question will come from Brian Colley with Stephens. You may now go ahead.
Brian Colley: Hey, good morning guys, and thanks for taking my questions. So over the last couple of quarters your messaging has kind of suggested the macro wasn't really having a material impact on the results. I'm curious whether or not that was still the case in 4Q and today and kind of how the sales pipeline trended throughout the quarter? And how you would characterize the demand environment today?
David Wagner: So that's a really good question. To me the key indicators from the script were, one that increasing velocity in the 100k deal range. Interesting to me the other number was the four deals over 500k versus five a year ago and actually down quite a bit from the Q2, Q3 quarters. So that larger deal velocity slowed a bit in the quarter. And then the third piece that I'm really, to get to me to highlight of the quarter was the gross retention number getting back to a multi-year high. So we 90 days later we remain really confident in the 6% to 7% baseline growth, which we built as you'll recall, not expecting an overly robust outlook as we look forward into 2023.
Brian Colley: Got it. And then for a followup, I was wondering if you could just provide an update on where you are with regard to divesting or end of lifeing the non-core assets that you've talked about the remaining $4 million to $8 million of ARR and how much of that or how much of that impacted 4Q 2022 and are you including any revenue from those assets in the 1Q guide and for the full year as well?
Patrick Brickley: Hey, Brian, it's Patrick. There was no impact in Q4. We do have a divestiture under LOI that we are on track to execute shortly here over the next couple of weeks, and that's a few million dollars of ARR. We have a couple of smaller opportunities that we're looking to execute on by the end of the quarter and throughout the year we'll continue to work through the portfolio analysis. As Dave mentioned, Bryan is onboarding, applying a fresh set of eyes, and I anticipate throughout the year we'll continue to have opportunities that we'll take advantage of in order to find better homes for certain assets. And our guide does anticipate that there could be some potential headwind related to divestiture, but these are all relatively small. That was part of the bridge that we provided at the Investor Day from 2022 growth to the guide of 2023 revenue growth of 6% to 7%. There are $4 million to $8 million of ARR that is up for potential divestiture that we've identified today and we've got just shy of half of that under LOI as we speak.
Brian Colley: Okay, got it. Well thanks for the time guys.
David Wagner: Yes, thank you Brian.
Operator: Our next question will come from Michael Turrin with Wells Fargo Securities. You may now go ahead.
Michael Berg: Hi, you got Michael Berg on for Michael Turrin. Congrats on the quarter. I wanted to dive into what's taking the guidance specifically your Rule 44 implied for the year there is a tick under what you just performed in fiscal 2022. So maybe walk us through if there's any level of conservatives and whether it's from macro or sales pipeline or even on the cost side maybe walk us through? Thank you.
David Wagner: Yes, so the biggest contributor to that difference is the acquired revenue, so the inorganic growth that we had in the revenue number last year. And so there's not an exact pinpoint on that, but that's where we kind of walked through the 21, 19, 17, 14% ending revenue growth rates. And so that's kind of the first big jump off is, we're entering 2023 with a purely organic growth rate. And then of course we built in and we just talked about the $4 million to $8 million of which, $4 million or just under 4 has already been well, it's under LOI, it's out of the ARR number, it's out of the revenue guide. So that remaining, it would be 0 to 5 in our, what could come out of the future divestitures that as Patrick said, those would be small. We had the lapping the large customers, so we had that detailed waterfall from the Investor Day that kind of brings you back. And then, I guess the other one is we're planning for flat one-time perpetual software and SaaS year-over-year. So the combination of those five factors brings that waterfall together from last year's overall growth rate to the baseline 6% to 7% we have guided for 2023.
Patrick Brickley: And just real quick on the cost side, we've, the restructuring actions that we took already during 2022 will improve our profitability in 2023 relative to 2022, and will continue to be optimizing the business throughout 2023. And that will set us up for continued improvement on profitability we expect as we head into 2024. So we've taken a lot of cost actions that will improve profitability, cash flow, and as stated. We have to work through some comps on revenue. But you see with the ARR growth that we do think we're moving in the right direction for the long-term.
Michael Berg: Thank you. And a quick follow up on ARR seasonality, we have the last four quarters now. In terms of net new ARR additions, can we think of these type of levels being the typical seasonality for ARR progression throughout the year? So it's pretty similar from Q1 to Q2 and Q2 to Q3, then nice big jump in Q4? Thanks.
Patrick Brickley: So Q4 has been, seasonality a good quarter, right? So we are pleased that we had the highest quarter-over-quarter growth of the year. Those are, those being the last four quarters printed, the 2022 quarters, those are the only "good numbers" we have going forward as we did the, going back and recreating ARR numbers. We did not go back into with the level of time back into the prior year. So we're going to be having good year-over-year of preparers beginning next quarter, but at the highest level we would expect the Q4 bump to be the highest kind of quarter-over-quarter bump of the year. And then as you know, ARR, it should be a pretty stable indicator of the predictability of the business as we move that steadily, steadily upward throughout the course of the year.
Operator: Our next question will come from Terry Tillman with Truist. You may now go ahead.
Terry Tillman: Yes, thanks for taking my question and followup. Maybe Dave, for you in terms of the risk center migrations, it sounds like that was kind of a newer kind of play or strategy that was unfolding and may have benefited 4Q. Could you give us a sense on just the size and scope of that opportunity as we progress through 2023, and is that going to be something that lingers in a positive way into 2024, just a little bit more on how the risk center migrations could help some of the KPIs in 2023?
David Wagner: Yes, that's a good question, Terry. And so we talked about that last quarter, the total population entering last quarter was 175 target customers. We successfully migrated about 10 of them last quarter. That's the pace we expect for the next couple quarters as we are digging into those customers. There's a little more reticence to move from on-prems to the cloud than we had expected. We're going to focus on moving that cohort with retention goal number one, growth goal number two, and cost savings, getting them gone as objective number three. So I expect that to be a pretty steady opportunity to move customers and drive ARR growth as those moves that through the course of 2023 and then I also do expect it to linger into 2024.
Terry Tillman: Okay, got it. And Patrick, maybe this is something I missed and it's a really simple question, simple answer, but in terms of the total mix of business that's perpetual license, what's the assumption for 2023 as opposed to what happened in 2022? Thank you.
Patrick Brickley: Yes. Hey, Terry. Right now we're anticipating about flat in 2023 relative to 2022 and 2022 was up about 20% from 2021. So it was the delivery of non-recurring licenses as well as a lot of our services which are non-recurring. We had record amounts in 2022, specifically in Q4. We don't anticipate setting new records as we enter 2023.
Terry Tillman: Okay. Thank you.
Operator: Our next question will come from Ryan MacWilliams with Barclays. You may now go ahead.
Ryan MacWilliams: Thanks for taking the question and good to see strong wins in CEM larger customers along with the sequential improvement in ARR. Patrick, how should we think about the year-over-year growth in ARR for 2023 as it relates to the revenue guide?
Patrick Brickley: Well hey, Ryan. We don't guide to ARR, but we are, as we continue to focus the business on, we mentioned at our Investor Day on critical event management and on our sort of we have of getting 1000 customers, 250 ARR greater and working with our existing base to move them up the CEM stack. We want to see ARR growth in double digits, and as we work through headwinds and in terms of lapping the non-reoccurring revenue, we anticipate that that will translate into similar pace of revenue growth, but that's going to take a number of quarters as we work through all of that.
Ryan MacWilliams: Excellent. And just on the free cash flow side, anything to think about as we move past the workforce structuring or maybe just any differences of how the free cash flow line could play out in 2023 versus 2022?
Patrick Brickley: Yes no, no major differences and the timing in 2022 was a little unique in that in Q3 we had a lot more operating cash flow than we usually do in Q3. And we -- but some things happened in Q3 that would typically happen in Q4, but in terms of the full year, the results was what we had anticipated and in 2023 will be higher. The restructuring cash outflow will be almost entirely wrapped up in the first half of 2023 and we'll continue to call that out so that you have clear line of sight to it. But beyond that, as our adjusted EBITDA grows, our operating cash flow will grow and our free cash will grow. The major differences between operating and free cash flow will continue to be the capitalized software development and that's something that will remain relatively static in 2023 compared to 2022.
Ryan MacWilliams: I appreciate the color. Thanks guys.
Operator: Our next question will come from Parker Lane with Stifel. You may now go ahead.
Unidentified Analyst: Hi, this is Matthew Kicker [ph] on for Parker. Thanks for taking my questions. To start, you mentioned record gross retention rates despite reducing headcount. I'm just wondering kind of what led to that combination of outcomes? And you are not seeing a decline in that, right and do you expect that to continue into 2023?
David Wagner: Yes, that's a great question, Matthew. Thank you. So that was not an all-time record, but highest in two full years. I really point the primary piece to the Board's decision to pause material M&A and then our execution of the leadership team of really getting our arms around every customer renewal, whether it is the legacy Everbridge or newly acquired. And so I do expect, I think that's the third important piece is that the customers are using our solution, liking it and retaining it. So I think there were just a couple of maybe a 100 basis points of execution improvement, the team was able to gather in as they paused material M&A and got the acquired cohorts really in command in the customer success motions that the company has used for years around its core cohorts. We had some then, some real specific great execution by the team that I'm pleased about but I do expect us to be off the lows we saw mid last year. I don't expect us to be going back there. So I leave the Q4 number, extremely pleased with that and expecting improvement from where we were obviously Q2 and Q3 last year to continue.
Unidentified Analyst: Got it. And then secondly, is there any specific product in the portfolio you want to call out that kind of led to growth in the quarter, or was it just general excitement in the CEM portfolio?
David Wagner: Yes, the one that bubbled up and when I gave those top five existing and top five new, the digital resilience had a strong performance in the quarter and so I was pleased by that. But the overall CEM portfolio and that broader need of our customers to digitize enterprise resilience, that's the core driver. But I, you know, inside the portfolio, I was pleased with the digital resilience especially on the new win side the quarter.
Unidentified Analyst: Terrific. Thank you very much.
Operator: Our next question will come from Mike Latimore with Northland Capital Markets. You may now go ahead.
Michael Latimore: All right, great. Thanks, yeah. In terms of the CEM deals, I think you may have given this, but how many came from new versus existing customers? And then, what does the pipeline look like for CEM kind of new versus existing?
David Wagner: We, we don't break it new versus existing. I did give a kind of a little lean back towards Terry's question on the 10 that moved from RC 9 to CEM to those migrations. So we're being real intentional. If you remember the wheel from Investor Day, that second quadrant, so we now have the 307 existing which is great. And then that next cohort being those migrations, but still down on that lower left-hand side, new customers are important. We had two of our top-five size wins in the quarter were CEM wins. I think that's good. Obviously the perpetual deals are going to tend to be the bigger deals that we'll be calling out in the top-five. But we had some nice large new customer wins, and of course, that momentum in the hundred -- the velocity in that 100K deal range was also a contributor. Over time at a big average, again, if you remember the Investor Day going around that wheel, we would be expecting two thirds to 80% of the CEMs to be growth of existing, with the remainder coming in through the new customer acquisition. And that will, again, vary quarter-over-quarter, but that's the high level five-year pattern that we're expecting.
Michael Latimore: Yes okay. And then these record CEM deals you know, presumably they get the full reflection and revenue in the first quarter, so does that suggest maybe first quarter ARR growth sequentially could be as good as what you saw in the fourth quarter?
David Wagner: I want to make sure I have that. So that the CEM deals, they do get deployed relatively quickly and so they do go into the ARR snowball and do begin to amortize out relatively quickly. And it's perpetual deals that can have, the Norway one was a really strong example where we closed in September and had it fully implemented by December, but that's, it's probably more, that's kind of the exception, not the rule, it's more 180 days on those perpetuals. So yes, the -- you guys have all been around SaaS businesses a long time. You know, the CEM ones are going to go into ARR and the ARR is going to come out into revenue with very little delay.
Michael Latimore: Okay. And then just lastly you talked about maybe a fewer of the 500,000 deals as a reflection of the macro perhaps. What about just sales cycles generally and change in sales cycles?
David Wagner: No, like I said, the velocity was strong, and so I look at that, both the CEM number and the over 100k number, so as indicators of the underlying velocity. But in this one quarter we were down, just a, it's one quarter and it's not a huge number, but we were down from five deals over a 100k in the quarter a year ago to 4, oh I'm sorry, over 500k from five deals down to four. And so that, I'm just putting all that in the shaker and really good gross retention, good, still good, very good velocity in the in the mid-sized larger deals and again, in this quarter, a little lower on the large deals.
Michael Latimore: Okay, great. Thanks.
Operator: Our next question will come from Koji Ikeda with Bank of America. You may now go ahead.
Koji Ikeda: Hey guys. Hey, David, hey Patrick. Thanks for taking the questions. I wanted to ask you a question or a followup on the sales capacity commentary earlier. You know, just taking in mind the reduction in capacity last year affecting growth this year, but it sounds like the demand in CEM and sales execution was pretty strong. So, I guess the question is, what are you looking for from a demand perspective this year where you may accelerate the pace of expanding sales capacity from here?
David Wagner: Yes, so that's a, yes, that is a really good question and you're, you know, I think you're asking it the exact way that we're thinking about it as a leadership team and a go-to-market team. And so we took out quota bearing reps with I guess with intentionality and with caution and the subtractions were largely in the reps who were focused on the smaller deal sizes which would potentially impact end number of new customers, especially as we, sales generated pipeline for those reps comes out quarter-over-quarter. But the real opportunity here in the first half is, arresting the departures and improving rep retention, which, whatever we are now six weeks into the quarter as well as from beginning July last year, we're making really good progress on that rep retention, that's thing one to address. And that provides all of the expansion of capacity that we'd be planning for. As we look forward, we want to grow that capacity, so we want to be back into hiring quota bearing reps as we turn the page later this year into next, and that's when we're going be evaluating those decisions carefully based on how our sales efficiency progresses throughout Q1, Q2, and into Q3.
Koji Ikeda: Got it. Thanks David. And just one followup here, looking at the 1Q revenue guide, it is down sequentially. You mentioned gross retention back to the highest in two years. I also mentioned a couple of planned divestitures, so understand all of that, but maybe help us understand any additional puts and takes beyond that that would cause, 1Q revenue to be down sequentially, anything particular to call out from a FX perspective? Yes, yes, thank you.
David Wagner: Yes, I'll let Patrick take the details. We've been disclosing, I think beginning at Q3, the split between revenue and in the quarter, rounded to the nearest million between recurring and perpetual. When you look at that stacked part chart we had a really strong Q4 and a pretty strong Q3. And so that combined with the lower perpetual Q4 and that's the biggest difference. You're going to see steady growth in our recurring revenues and seasonality in the perpetuals.
Patrick Brickley: Yes. So in the -- hey Koji, this is Patrick. In the 117 there were, there was well over $16 million of one-time revenue in Q4 and Q1 is just not going to have anywhere near that amount. So you see with the ARR growth that the subscription, the recurring business is continuing to grow, but that one-time set of revenues is very lumpy. And you'll see in the 10-K that we anticipate filing by the end of this week that in 2022, that one-time revenue amounted to over $35 million. So it's, on the one hand, $35 million out of $432 million, it's not a huge percent, but it is lumpy and it creates, it can create some noise. And just as you saw in the transition from Q4 2021 to Q1 2022 a lot of times those one time deliveries, they land in Q4 and they don't land in Q1. So we had a sequential decrease coming into 2022 and we'll have another one coming into 2023.
Koji Ikeda: Got it. Thanks guys. That's super helpful. Thank you so much.
David Wagner: Okay.
Operator:
Kash Rangan:
Kash Rangan: Hello and thank you very much David and Patrick. David, a question for you, it's been probably what, seven, eight months since you joined as CEO. That's been enough time to conduct an extensive review and congrats on the quarter, by the way. I'm curious to get your take on what elements of the old strategy were actually working that you expect to harness and invest in, and what are the elements of the new strategy that you hope to implement that will get the path to the $1 billion in revenue that that you have clearly outlined? That's good stuff. Thank you so much.
David Wagner: Yes, thank you, Kash. I mean, yes, hopefully it's coming through really loud and clear that it's building out this recurring revenue and focused on the value creation that comes from that is the difference or is really, to me, the key strategic shift that we've made. I remain really bullish. I say that and I remain really bullish on our public warning, public safety and smart security products. Those have really fantastic value. There's definitely synergy with the rest of the portfolio. So, thing one is focusing on that recurring revenue and make sure that's the focus, thing two is strategically bringing together in the right way the full suite of our products. And, to me the good thing, well the bad thing about what the company has done is just a lot of M&A relatively close together. The good thing is that everything hangs together, the customer demand, the customer synergies. I'm seeing how we're going to be able to bring this together retaining our leadership position with the broadest set of solutions in the CEM space. And with this modest divestitures that we talk about the 4 to 8, which should drop to 0 to 4.5 or so, with this under LOI that we pulled out. So anyway yes, to me it's that big $1 billion ARR wheel and growing those customers through cross sell, migrations and new customer ads and just staying really focused on that.
Kash Rangan: Got it. Really well balanced business model. Thank you so much.
Operator: This concludes our question-and-answer session. I would like to turn the conference back over to Dave Wagner for any closing remarks.
David Wagner: Well again, I thank you all for participating with us today, and I look forward to speaking with many of you throughout the course of the quarter and updating you again after our Q1 is complete. Thank you all very much. Have a great day.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.